Operator: Good morning, ladies and gentlemen, and welcome to the Cohen & Company First Quarter 2021 Earnings Call. My name is Stephanie, and I will be your operator for today. Before begin, Cohen & Company would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under the applicable securities laws. These statements may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call, and the company undertakes no obligation to update such forward-looking statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements and its earnings release, and the most recent annual report on Form 10-K filed with the SEC. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company. Please go ahead, sir.
Lester Brafman: Thank you, Stephanie, and thank you, everyone, for joining us for our first quarter 2021 earnings call. With me on the call is Joe Pooler, our CFO. To say the least, we are extremely pleased with this quarter’s results. This quarter shows the enormous earnings potential of this platform, and we continue to build adjacent business lines with expectation of growing consistent revenue streams down the road. In the first quarter, our net trading revenue was $19.2 million, thanks to strong performance from our mortgage, repo, and corporate trading groups, and our Gestation repo book grew to $4.1 billion, up from $3.3 billion at the end of 2020. Also in the quarter, our second company-sponsored SPAC, INSU Acquisition II, closes merger agreement with Metromile, contributing $33.4 million to adjusted pre-tax income. We were excited to announce the hiring of several top investment bankers with broad experience in M&A, advisory, private capital markets, equity capital markets and PIPE transactions. We expect that this added expertise will create another source of revenue to complement and continued growth of our SPAC franchise, and contribute to our overall operating leverage. Looking ahead, we are excited to build on our momentum as we grow our business while remaining committed to executing on our strategic priorities, with a continued focus on proactively managing our risk and capital structure, as well as enhancing stockholder value. Now I will turn the call over to Joe to walk through this quarter’s financial highlights in more detail. Joe?
Joe Pooler: Thank you, Lester. We’ll start with our statement of operations. Our net income attributable to Cohen & Company, Inc. shareholders was $9.4 million for the quarter or $6.98 per fully diluted share compared to $14.8 million for the prior quarter or $7.64 per fully diluted share and net loss of $3.1 million for the prior year quarter or $2.70 per fully diluted share. Our adjusted pretax income was $37.6 million for the quarter compared to $23.8 million for the prior quarter and adjusted pretax loss of $4.1 million for the prior year quarter. As Lester mentioned, in the first quarter, our second-company sponsored SPAC INSU Acquisition Corp. II closed its merger with Metromile contributing $33.4 million to the quarters adjusted pretax income. Note that adjusted pretax income is not a measure recognized under U.S. generally accepted accounting principles. See our disclosures, calculations and reconciliations surrounding adjusted pretax income in our earnings release. Net trading revenue came in at $19.2 million in the first quarter, up $1.1 million from the fourth quarter and up $600,000 from the first quarter of 2020. The increase from both prior quarters was primarily the result of increased trading from our Gestation repo trading group. Our asset management revenue totaled $2.1 million in the quarter down $1.7 million from the prior quarter and up $500,000 from the year ago quarter. The changes from both prior quarters were primarily related to the timing of incentive allocations earned by the manager of our SPAC funds in the fourth quarter of 2020 and to a lesser extent in the first quarter of 2021. First quarter 2021 principal transactions and other revenue was $79.6 million, which included $73.2 million of revenue related to Metromile stock held by our consolidated sponsor entities after INSU Acquisition Corp. II’s merger with Metromile, which closed on February 9 of 2021. It’s important to note that approximately 54% of our consolidated INSU II SPAC sponsor entity assets are owned by non-controlling interests. $26.6 million of the non-controlling interest reduction to our net income for the first quarter and $13.1 million of our equity compensation expense, both relate to the non-controlling interest in the consolidated INSU II SPAC sponsor entities. Principal transactions revenue includes all gains and losses and income earned on our $107 million investment portfolio classified as other investments at fair value on our balance sheet. This investment portfolio has increased recently due to our SPAC portfolio growing as our SPAC franchise expands. The investment portfolio includes $72.9 million of Metromile stock at the end of the quarter of which $39.8 million will be distributed to the non-controlling interest investors in the sponsor entities. And the portfolio also includes $15.6 million of shift stock at the end of the quarter. Of the $72.9 million of Metromile stock, $51.8 million is currently restricted from sale in accordance with terms we have disclosed in previous filings. And of the $15.6 million of shifts stock $13.4 million is currently restricted from sale, again, in accordance with terms we’ve previously disclosed. Compensation and benefits expense for the first quarter was $26.6 million, which included $13.1 million of stock compensation expense related to employee ownership of founder shares from INSU Acquisition Corp. II’s merger with Metromile. Compensation as a percentage of revenue was 26% in the first quarter compared to 35% in the fourth quarter and 80% in the prior year first quarter. The number of Cohen employees has grown to 98 from 87 at year end. Net interest expense for the first quarter was $2 million, including $646,000 on our two trust preferred debt instruments, $579,000 on our senior notes, $723,000 on our redeemable financial instruments and $65,000 on our credit line. At the end of the first quarter, we repaid in full the remaining $4 million redeemable financial instrument that supports our GCF repo business. Loss from equity method affiliates during the quarter totaled $835,000 compared to the prior quarter loss of $244,000 and the prior year quarter loss of $107,000. The fluctuation in loss from equity method affiliates was primarily related to pre-business combination expenses incurred by the company’s three sponsored insurance SPACs, which were at various stages of finding a merger target during the quarters presented. During the first quarter income tax expense was $868,000 compared to income tax benefits of $8 million in the prior quarter and $372,000 in the prior year quarter. As a reminder, the prior quarters’ income tax benefit was primarily the result of the reduction in the valuation allowance applied against the company’s net operating loss and net capital loss tax assets. In terms of our balance sheet at the end of the quarter, our total equity was $154.7 million, an increase of $53.2 million from the prior year end total equity, $45 million of current quarter end total equity was non-convertible non-controlling interest primarily from the non-controlling interest in our consolidated SPAC sponsor entities. Also at the end of the quarter, stockholders equity was $53.5 million, a $9.6 million increase from the prior year end stockholders equity balance. Consolidated corporate indebtedness was carried at $47.3 million and our redeemable financial instruments were carried at $8 million. Additional details regarding the mentioned SPAC transactions are available in the company’s filings with the SEC, including our 10-Q, which we expect to file today or tomorrow. With that, I will turn it back to Lester for some closing remarks. Lester.
Lester Brafman: Thanks, Joe. Please direct any offline investor questions to Joe Pooler at (215) 701-8952, or via email to investorrelations@cohencompany.com. The contact information can also be found at the bottom of our earnings release. Operator, you can now open the call lines for questions if there any.
Operator: [Operator Instructions]
 :
 :
Operator: At this time, there are no questions in queue. I’ll turn it back over to management.
Lester Brafman: Thank you all for joining us today. And we look forward to speaking next quarter. Thank you very much.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.